Operator: Greetings, and welcome to the Fastenal 2020 Third Quarter Earnings Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Ellen Stolts of Fastenal. Thank you, ma'am. Please go ahead.
Ellen Stolts: Welcome to the Fastenal Company 2020 third quarter earnings conference call. This call will be hosted by Dan Florness, our President and Chief Executive Officer; and Holden Lewis, our Chief Financial Quarter. The call will last for up to one hour and will start with a general overview of our quarterly results and operations, with the remainder of the time being open for questions and answers. Today’s conference call is the proprietary Fastenal presentation and is being recorded by Fastenal. No recording, reproduction, transmission, or distribution of today’s call is permitted without Fastenal’s consent. This call is being audio-simulcast on the Internet via the Fastenal Investor Relations' homepage, investor.fastenal.com. A replay of the webcast will be available on the Web site until December 1, 2020 at midnight Central Time. As a reminder, today’s conference call may include statements regarding the company’s future plans and prospects. These statements are based on our current expectations and we undertake no duty to update them. It is important to note that the company’s actual results may differ materially from those anticipated. Factors that could cause actual results to differ from anticipated results are contained in the company’s latest earnings release and periodic filings with the Securities and Exchange Commission and we encourage you to review those factors carefully. I would now like to turn the call over to Mr. Dan Florness.
Dan Florness: Thank you, Ellen, and good morning everybody and thank you for joining us for the third quarter earnings call. Before I start with the flipbook, I just thought I'd share a few thoughts. We do some simple things at Fastenal. We find great people. We ask them to join and then we give them a reason to stay. One of the jovial aspects of my role here at Fastenal is in the fall of each year, I send a letter to all of our 25-year employees as well as our 15-year employees. And then we typically with the 25-year employees, we celebrate them at our national meeting held in December of each year. Obviously this year won't be held in person, but it's a great opportunity to recognize great service to the organization and folks that saw the reasons compelling enough that they've spent much of their adult life in the Fastenal organization. If I look at the third quarter of this year, we actually have six people I get to work with each and every day that hit a milestone in their employment was Fastenal. So back in July, Le Hein celebrated 35 years with Fastenal. Rodney Hill, a little bit later in the month, celebrated 20 years. Rodney Hill, for those of you don't know who he is, he's our Senior Vice President in our National Comms team. In August, we had two employees celebrated anniversary. Again, these are folks I work with. Holden Lewis, who you'll hear from shortly, hit four years. But on top of that four years, a wealth of knowledge because many of you know that he spent a good chunk of his career in the sell-side community. And when I stepped out of that role, I wanted to bring somebody in who I'd known for years who I was really impressed with their body of work, and Holden has been with us now for four years in August. Bill Drazkowski, many of you have heard that name before, he's our leader in our western United States business unit. In August, he celebrated 25 years. I remember the first time I met Bill I was traveling in southern Minnesota. He was working in our Albert Lea, Minnesota branch. My first impression of meeting Bill was I didn't realize we hired 16-year olds. And today, he's a key leader in our organization and again covering the western United States. Here in September, John Soderberg, our Executive Vice President of IT, had a milestone celebrating 27 years with the organization. And this coming Saturday, Reyne Wisecup, our EVP of HR will celebrate 32 years with the Fastenal organization. Now four of these six people I just mentioned grew up in the organization on the sales side; seems inappropriate for a sales minded sales centered organization. And they bring a wealth of experience and knowledge to the table. I touched on Holden a few minutes ago. I'd say Reyne is probably the person I listened to the most. If we make great decisions on HR, it's because I listened to Reyne that day. If I look at decisions that I wish I had to do over, it's usually because I didn't listen to Reyne that day. One other item I'd share is in that group of 25-year employees, this year has its first non-American. Our Canadian business celebrated 25 years last fall and I look forward to seeing Darrell next time we meet to congratulate him on that milestone. I did single him out in my letter that goes in our annual holiday box of goodies that goes out to employees in December. In the July call, we talked a bit about the steps we took back in the early months of the year as we were listening to our team in Shanghai, and what they were learning firsthand from COVID-19. And we talked about what we did in March and that was we locked down our locations. We closed the front door of our branches. We asked our customers to call ahead. We'd have the product ready for them. We are a supply chain partner for our customers. Most of our sales go out the back door of our branch and we deliver it to our customers' facilities. So by letting us on their premises, they're placing a trust in us and we want to honor that trust. Here's a quick recap of information that I've been sharing on a weekly and monthly basis with our employees, as we progress through this COVID-19 era. We never shut down as an organization. I think everybody knows that. 94% of our population, because of their role, don't have the ability to work remotely. They might work in a branch or onsite, they might work at a distribution center, they might grab a truck, they might work in our manufacturing division. They're in some role that requires them to be present. If I look at that population in the month of March to May, we were seeing two to five cases per week. And at the end of May, we had 41 cumulative cases within the Fastenal organization. Now we have roughly 21,000 employees, so that was two-tenths of 1%. In the month of June, as some businesses were coming back to work, and there's a little more activity, we saw our case count on a weekly basis jump quite dramatically. And we were seeing about 14 cases per week. At the end of June, cumulatively we were approaching 100. We had 97 cases, which is a half of a percent of our 21,000 people. July saw it increase a little bit more, 16 cases per week. In August, 20 cases per week. September, we saw an interesting change in that trend. We dropped to about 17 cases per week. And at the end of the quarter, cumulatively, we've had 344 cases within the Fastenal Blue Team family. Again, if I did my math right and these aren't audited numbers, these are my notes. That's about 1.6% to 21,000. In the first week of October, we saw the case count come in at 14, again, positive trend. I have no idea what our trends will be in October, November, and December and as we enter the new year. But I do know our group of employees have been taking responsible steps to protect themselves, their families and their customers they serve while providing a much needed supply chain to the marketplace. With those 14 cases, cumulatively, we're at 358. Again, that’s as of last week. At that time, I received a report we had 21 people currently out. And the typical duration we're seeing is about 15 days, so about two weeks worth. If I go to the flipbook, we talk a little bit about our daily sales. So while it’s not on the sheet, in Q2 we grew 10.3%. In Q3, that reduced 2.5%. Operating income in Q3 grew 2.9%. Our incremental margin was in the mid 20s. Really pleased with those numbers from the standpoint of when I think of safety, safety provided us a bridge between where the economy was prior to COVID-19, as the economy shut down and where it is today. So it's been providing us a bridge. If I look at discrete business pieces of our Fastenal business, fastener and safety, as we've talked in prior calls make up about half of our revenue. In the second quarter, our fastener business, our oldest product line, our most mature product line, our product line that really links to what's going on in the industrial world, sales dropped 16% in Q3 that improved to negative 7%. Safety products grew 116% in the second quarter. It came back out of the stratosphere and grew 34% in Q3. And if you look at all the remaining products that aren't fasteners or safety, they contracted about 8% in Q2, about 2% in Q3. And so the trends are telling me the environment we operate in is healing itself, is improving and again safety has provided an incredible bridge as we’ve gone through this. Earlier I mentioned great people. When I think of the last six months, I’m really impressed with our ability to adapt really quickly to the new normal, incredibly impressed with our ability to successfully manage costs and how we’re holding each other accountable. In fact, this afternoon I have a call with a subset of our regional leaders, another call scheduled tomorrow where we're going to talk through elements of our P&L where they're not pleased with us, and us being Dan and Holden and the folks that support them, because our expenses grew a little bit more than theirs. Actually our expenses didn't improve as well as theirs did. And some things I'm going to share with them. Our profit sharing contribution that goes to the entire organization, it's based on our level of profitability. Q3 to Q3 is up 40%. I'm personally proud of that. That means we're finding success together and we're sharing that together. We made a big acquisition of technology back in the first quarter in March. So in both Q2 and Q3 we have a sizable amortization expense that’s now in the numbers. We introduced mobility across the organization. We deployed just under 8,000 devices in the last nine months. So that's an expense that went from zero to something that's not zero. It's $1 million plus increase of investments we're making to improve the long-term health of the business. We found great success, interestingly enough, in our ability to sell clearance items; clearance products, products that have been on our shelf whether they're in our branch or distribution center, and this isn't COVID products. This is stuff that we've accumulated over time. We saw an incredible jump from Q3 to Q3, like 200%. It's a small number, but we're finding success. We’re resourceful in this marketplace. As you can expect, our purchasing of inventory, we did a great job with inventory. Our purchase discounts we earned are less this year than they were a year ago. And so I'll be having that conversation with our team, but we hold each other accountable and that's how you successfully manage expenses in an organization. Most importantly, I think great people. We've retained the talents of our organization in ways many other organizations haven't had the ability to do. And our safety sales played a role in that and I'm proud of that. But we continue to invest in the future. Our training has actually expanded in a COVID era. Even though we don't have our instructor-led training at all this year, our online training in our virtual instructor-led trainings, our Fastener School of Business did an incredible pivot and our folks in the field are embracing it in incredible ways. Earlier I mentioned we deployed almost 8,000 mobility devices and we created a more efficient platform for providing service to our customer. I believe in the last six months, we've widened the moat [ph] that Fastenal enjoys by demonstrating the following in the marketplace to our customers. We’re a great supply chain partner, we solve problems and we invest to deliver and we have a great group of analysts that have historically covered us. And I'm not saying that to ingratiate myself to the analyst community. I'm saying that because it's a fact. I was reading one of the – couple of analyst reports that came out earlier this morning and I asked Holden about it. And in there, I saw where we have $30 million of slow moving PPE inventory. We made a big investment in products to support the marketplace in the early part of this year. If you're in our supply chain team, if you're in our forecasting team, we’ve done a great job. And I think there are folks in our organization that are looking at our PPE inventory and saying, geez, we have a bunch and they're scared about it – nervous about it is probably a better word. And I look at it and say, this $30 million of inventory, our sales in Q2 surged dramatically. The inventory that's explicitly in this – and the reason I know these numbers, I was talking to our Board about it yesterday, our sales of these products that we have this inventory on from Q2 to Q3, the quantity of our sales went up 18%. So this isn't something that all of a sudden there was a big need for in Q2 and that need has gone away and Fastenal is sitting with all this inventory. Based on the sales in Q3, we do have months of supply. Frankly, in today's chaotic world, I consider that an asset. Not a problem. And it will support us as we move through this. And I'm happy we have it. So if you need 3-Ply mask, give us a call because the marketplace needs them and I'm glad we have them. Moving on to the surge activity, as Holden mentions in the flipbook, it did ease, however, pandemic products continue to contribute high sales, as mentioned earlier. Safety was up 34%. Growth drivers improved. The signings improved from Q2 to Q3. Sales is about what happened today. Growth drivers and momentum with growth drivers is about what happens tomorrow. Our tomorrow improved from Q2 to Q3 and I feel really good about that. We're not back to the hundreds and the hundreds is our stated internal stretch goal that we put in place last December, obviously got thrown out the window in March when the world kind of – when the world shut down. But our stated goal is, can we get to 100 signings of vending devices a day? Can we get to 100 signings of onsites per quarter? And that's what we've invested in infrastructure to support because we think that's a sign of great engagement with customers and a great ability to take market share. But they did improve from Q2 to Q3. Lastly, on that page, Holden talks about a conservative capital structure. Basically, we have a great balance sheet and that great balance sheet improved in the quarter. And one of the things I said to Holden back in March and the finance team in general; Holden, Sheryl and the entire team, I said, what distribution businesses do in environments like this is we're not investing in working capital the same way. And we actually become a cash generator, because we harvest some working capital. And I'm really impressed with our supply chain team, our finance team, our district and regional leaders on what they did to produce the cash flow of this year. And so if I look at it in nine months, because then you take out some of the noise of the cash payment deferrals from Q2 to Q3; nine months in, our earnings are up 8.3%. Our operating cash flow is up 32.2%, $190 million increase over last year. We pulled back some CapEx in our free cash flow. Operating cash minus CapEx is up 62% year-over-year. And there is a little left in there because there's about $19 million of social security tax that's deferred until next year. Absent that, 32 and 62 goes to 29 and 57. My compliments to Holden, Sheryl, the team, great job. And it means we have a balance sheet that's ready to support our future. Flip into the vending dispenses information that we shared last quarter, again most of this you saw last quarter. You see the dip over Thanksgiving. You see the impact of Christmas and New Year. You see the impact of Easter in early April. And you see where we – history says we should be by the end of March and where we were by the middle of April. You saw there was some recovery, but as of June the blue line which is current versus the gold line, which is history or yellow, depending on quality of your monitor, we were 15 points below where history says we should be. By the end of September that 15 points is now 9. We're now back to where we should be, but the health is better. And once we got into September, I'm pleased to say we were above where we started last October. Again, not where we should be but a great performance. And vending is really about consumption of products in the marketplace. It's a real, real time – it’s a great real-time indicator activity. The next page is about unique users. Here you get a little more noise because the way we calculate it, if you have a business day out. So you get the Thanksgiving noise, the Christmas, New Year noise. Easter, you see where we would have been in that March timeframe. You see where we bottomed out in mid April at 85 and where we ended the quarter. So at the end of the quarter, we were 8 points down. Right now, we're 7 points down. We continue to narrow the gap. This is about employment activity. The first one is dispensing. This is employment. I'm really glad we have the vending business, not just what it gives us in visibility but the fact how it helps us grow and it gives us a reason and our customers a reason to allow us to keep coming in their facilities, and that's one of the ways that we're really entrenched in the business of our customers and you see it shine through in this type of environment. Final page I'll talk to in the flipbook is Page 6. As mentioned earlier, our signing activity is still below where we were pre-pandemic, but it's making a comeback. Onsites, we signed 62 in the third quarter and I feel really good about the momentum of that. We need that momentum to come back to support us in the future, that future growth. One thing I shared with our Board of Directors yesterday that I thought was an interesting development, and that is if you look at government business, historically, a relatively small piece of our business, obviously, it became a more sizable piece of our business in the second quarter. We're getting onsite traction in the government world too. Last September, 25 of our onsites were with governmental entities. That might be a K-12 school district, that might be a college or higher ed, that might be something else in the government sector, but 25 of them. By March, that had grown to 29. At the end of September, we have 35. That’s a 40% increase in onsite business with government customers that tells me that some of that government business we picked up is going to be sticky. And 60% of that occurred in the last six months. And I don't know about the rest of you, but I've never seen government move real fast in a lot of things in life. This is incredibly fast pace change when I look at that business. College, higher ed 56% increase over last year. We actually in the third quarter signed our first healthcare onsite. I don't know what that means for the future, but it is an interesting development. The rest of the information I think it's pretty straightforward in the reading. In March, our e-commerce sales and so when we look at e-commerce, even though vending is e-commerce in a way, we don't include that in our number, but it is a digital sale. This is still strictly at EDI and web orders. For the first time ever in March, that popped over 10% of our sales. In the second quarter, it dropped back because most of the COVID surge was not going through EDI. It was reacting, engaging directly face to face with customers from a safe distance. In August and September, our e-commerce has extended business again popped over 10%. And for the quarter, we were over 10%. With that, I’ll shut up and turn it over to Holden.
Holden Lewis: Great. Thanks, Dan. Flipping to Slide 7. Third quarter 2020 sales were up 2.5%. Like last quarter’s strong sell-through of safety products offset weakness in our traditional manufacturing construction customers. Sales of safety products are up 34%. Sales of state and local government and healthcare customers grew 131% in the period and this certainly includes sales related to COVID mitigation. However, we're also seeing restocking, pre-stocking and share gains as we received follow-on orders from customers that we added in the second quarter. As a result, we're not characterizing strength here in the third quarter as surge as the reasons behind our customers buying have become much more varied. We do view this favorably, however, as it affirms our belief that we will be able to retain relationships that began in the chaos of the second quarter. That is likely what allowed us to outperform our original expectations for safety growth in the third quarter. All other products declined 4.2% including fasteners, which declined 6.9%. This represents deceleration in rates of decline as the economy has reopened and production has rebuilt following the disruptions of the second quarter. In fact, we saw sequential low single digit improvement in both hub picks and vending dispenses in each month of the third quarter, suggesting gradual but steady gains in the underlying business conditions. At this time, we believe customer activity levels are down mid single digits from pre-pandemic levels. As it relates to the near-term outlook, I think everyone understands that coronavirus is still with us but at this point customers are navigating around the issue without having to close operations. As a result, business activity continues to trend steadily, albeit gradually upward. Against the backdrop of multiple months of better than 50 readings in the PMI and an RVP commentary about customers reengaging in growth driver discussions, conditions are encouraging. Remember that we are entering the low volume and holiday impacted fourth quarter, which can always introduce a bit of unpredictability. Still, it's good to see some degree of normalization settling in. Now to Slide 8. Gross margin was 45.3% in the third quarter of 2020, up 80 basis points sequentially and down 190 basis points versus the third quarter of 2019. The most significant factor in the third quarter behind the annual decline is low margins for COVID related safety and janitorial [ph] products. In contrast to the second quarter when this pressure was a byproduct of inefficient supply chains and our own speed and sourcing products, pressure in the third quarter is from two different sources. First, for certain products, demand continues to outpace supply and costs have begun to rise. We began addressing these products with price actions beginning late in the third quarter. Second, other products like 3-Ply masks and disposable respirators are oversupplied and prices have declined. We believe this will correct itself based on the sell-through of these products out of our inventory. However, this process may take until the second half of 2021. Collectively, COVID related safety and janitorial was about 14% of sales in the third quarter and the gross margin was down mid to high single digits on that group of product. The remaining decline in gross margin is from mix and cyclical and organizational factors such as rebates, deleveraging of certain fixed costs, higher import costs, et cetera. The size and specific lines associated with COVID, the pricing environment is stable. This decline in gross margin was slightly more than offset by leveraging of SG&A and higher sales of PPE, which produced 200 basis points of operating expense leverage over the third quarter of 2019. 6.3% lower FTE at the end of period and lower bonuses as a result of the weaker environment generated very strong leverage of employee expenses, while lower travel expense, lower fuel costs and continued tight control of operating expenses generally enabled leverage of other operating costs. The result was an operating margin of 20.5%, up 10 basis points and an incremental margin of 24%. Putting it all together, we reported third quarter of 2020 EPS of $0.38, up 3.5% from $0.37 in the third quarter of 2019. Now turning to Slide 9. We produced 289 million of operating cash flow in the third quarter of 2020, representing 131% of net income and up 12.3% from the third quarter of 2019. This strong cash generation is despite having paid 104 million of taxes deferred from the second quarter as part of the CARES Act and is attributable to higher earnings and farming [ph] working capital in the period. Accounts receivable was up 2.1%. We did collect the 75 million in surge related balances that existed at the end of the second quarter. The follow-on orders from some customers simply replaced surge balances with regular weight balances. As a result, receivables increased largely in line with sales. Receivables quality remains excellent. Inventories were down 1%. 50 million in COVID related stock at the end of the second quarter was around 30 million at the end of the third quarter, and we will continue to work down this balance over the next few quarters. Meanwhile, the combination of weak demand and efforts to streamline our inventories translated to declining inventory at our branch locations and moderating inventory growth in our onsites and hubs. Our net capital spending range for 2020 remains 155 million to 180 million. We achieved record net income and record operating cash flow over the first nine months of 2020. This allowed us to acquire the assets of Apex, deploy significant resources to secure critical products and carry working capital for customers during the chaos of the second quarter, and returned 480 million to investors in the form of dividends and share repurchase. At the same time, net debt is just 2.5% of total capital and substantially all of our revolver remains available for use. We retained ample capacity to pay our dividend, finance working capital as demand improves, or take advantage of any other business opportunity that may arise. That is all for our formal presentation. So with that, operator, we will take questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions]. In the interest of time, we do ask that you please limit yourself to one question and one follow up before rejoining the queue. Our first question is coming from David Manthey of Baird. Please go ahead.
David Manthey: Hi. Good morning, guys.
Dan Florness: Good morning.
David Manthey: I have kind of a long-term question here just to reorient on the growth drivers of the business. Could you update us on how you see the total available market for vending and onsites relative to where you are today? And then a little bit more near term, if you could just give us an update on the LIFT initiative to get some pretty good early returns on the pilot programs and I'm wondering if you're moving forward with those more broadly yet?
Dan Florness: Yes, so a few things there. I'm going by memory here, Dave. I think what we've talked in the past about is we believe there's around 15,000 – there's potential for about 15,000 onsites based on what we know today. And what we know today is largely confined to North America. And that's a number we've talked about internally. I hope that’s a number we've talked about externally in the past and Holden’s not giving me a dirty look. But suffice it to say it's a really big market and the reason it's so big is, because of our frugal cost structure, we can find success in an onsite doing $100,000 a month, doing $150,000 a month where most of the marketplace struggles with the onsite model when you get below 250,000, 300,000 a month. Putting one person in an office and doing sourcing is not an onsite in our mind. An onsite is you’re there engaged in their business. But we're able to find success in a lot more places. The vending, suffice it to say, I personally believe the numbers over 1 million but I don't know how much over 1 million and I don't know if I'm a [indiscernible] put into figuring that one out. The wild card on vending is historically vending was about putting in a vending box. And because we were reliant on a third party for vending, it was a separate system from everything else we did. But there's places where we have vending where bin stock works. But we want to illuminate the supply chain. So what we're doing now after acquiring it is we're building the technologies together. So some places we’ll use vending and some places we’ll use a bin stock that has replenishment automation in it. In other words, we know how full the bin is. We know how – either through RFID technology or infrared technology or some other technology. And so suffice it to say it's an incredibly big market I believe between vending and bin stock. It could address 70% of the true spend that exists in the marketplace. And so you can size it on that based on a device that does $2,000 a month in business with that yield for a number. The final point and Holden remind me on the final point, LIFT. LIFT, we – and for those of you that aren't familiar with what LIFT is, the acronym stands for Local Inventory Fulfillment Terminal. And the way we're approaching it initially is it's a terminal that replenishes vending, but it could replenish other things such as bin stocks in the future. We had some pilots. We have a handful of pilots we did. The first one was in Phoenix, Arizona, but we've added since then. The only thing that's changing – first off, the initial results are really positive because it allows us to become more efficient in replenishment of vending. It also pushes us to make the model better. And what I mean by that is a greater standardization of products going into the vending, because we're replenishing multiple machines, multiple branches, multiple business units out of one facility. And so we're doing some aggregation. What we're really doing now is the movement is removing more and more of the LIFTs we're doing in the next 12 months into distribution centers to make it part of our distribution network. But really excited about the potential there and we're moving forward on it.
Holden Lewis: And I might chip in a couple of things, Dave, first on the market size. The numbers that Dan cited were numbers that we sort of derived some time ago. We haven't necessarily updated them on a regular basis, but we do touch base with the owners of those businesses and there's not a belief that anything has changed in terms of that opportunity. In fact, when you hear Dan describe the performance that we have in some of the educational facilities and government facilities, that was not a market that was envisioned in the original study. And so we're seeing – in addition to the opportunity exists in the original study, we're seeing expansion of the potential applications. As it relates to the LIFT performance, right now, we still got relatively few. I think we will ramp up the rollout on that based on the performance. And so we don't have a lot of sort of longstanding metrics that we can hang our hat on. But in our oldest one, we did see things such as the dollars per FTE in those regions get better and the signings improve in that region and quite frankly the service level as measured by the number of returns improve. And so, yes, I think you're right. The initial data from the initial rollouts of the LIFT have been encouraging enough that I think you'll see us put more of those in the market in their various capacities and forms, and perhaps accelerate that in the coming 18 months.
David Manthey: Perfect. Thanks, guys.
Dan Florness: You bet.
Holden Lewis: Thanks, Dave.
Operator: Thank you. Our next question is coming from Nigel Coe of Wolfe Research. Please go ahead.
Nigel Coe: Thanks. Good morning. Thanks for the question. Just wanted to kind of dig back into the inventory reductions and also the tight lid on employee hiring. Given the sequential improvement we're seeing and the optimism perhaps from the field, how long can you restrain employee costs so aggressively going forward and inventories as well? That's my first question.
Dan Florness: Yes, on employee costs, remember that restraining of those expenses really is not a function of what we do [indiscernible]. It's really a function of the decisions that are being made by the individuals in the field that are running their businesses, whether that be a branch, a district or a region. So I don't want to give you the impression of a degree of control that we don't by choice exercise in our culture and our model. The reality, Nigel, is the reason that we protected our talent the way we did through what certainly initially looked like it was going to be a pretty nasty downturn was specifically so that we'd be able to move quickly when conditions allowed, and with demand sort of getting gradually better and with our customers increasingly reengaging in conversations about growth drivers, in many respects that moment has come. And as a result, we fully expect that much as we saw in September, we saw an uptick in FTE relative to what we'd seen the month before, I wouldn't be surprised if you continue to see some of that. Travel expenses, I wouldn't be surprised, again, if you saw that come up from where it's been. And so the answer is difficult to answer because we don't control coming out any more than we control going in. Those are decisions made locally. And the field has made great decisions about it going in and we trust that they're going to make fantastic decisions about it coming out that's going to allow us to be both disciplined with expenses, because let's not forget we're going into a volume challenge seasonal period and we're all aware of that. But I think they're going to be able to exert a great deal of discipline over their cost structure because it makes sense for them to do so, and they’ve shown an ability to do it, while deploying the resources necessary to take advantage of the opportunities that are reopening again. And that's probably how I answer that question. I hope that gives you something you're looking for. As it relates to the second question on inventory, the inventory kind of reacts the same way, right? When demand is weak, inventory naturally can come down as customers naturally need less of it. And when demand gets better, then it goes the other way. And so there certainly is a – if demand gets better, and we would welcome that, then that would come with some improvement in inventory as well. Now that said, I'll tell you we're doing a lot of things to get better at managing our inventory, one of which is we're really moving product through our internal supply chain really smoothly today, right. We've gone through a period where we've been closing branches, we're addressing slow moving products, which is sort of historical product that we've brought into the business over years where we have different types of model stockings that we're engaging with and that's required us to move product through the supply chain at an accelerating rate. And whether it goes store to hub, hub to hub, hub to customer and branch, we've really made the movement of that product much smoother and at a higher velocity than I think what we've seen before and that's an improvement. We've introduced budgets on inventory to the field that I think that they try to operate to which has been an improvement. We're working with supplier partners to really time shipments better. As you know we have a long supply chain. And so if we can get those shipments times better, that actually works for us. And obviously we've been a little bit more aggressive with nonperforming inventory such as you saw in some of that clearance stuff. So we're doing a lot of things that I think will continue to lead to an improvement in our days on hand over time. But if demand gets better and the onsite signings we accelerate, that's going to put some need into the inventory again.
Holden Lewis: We call that a good problem.
Dan Florness: That's a good problem.
Nigel Coe: Okay. Thanks.
Dan Florness: Thanks, Nigel.
Operator: Thank you. Our next question is coming from Ryan Merkel of William Blair. Please go ahead.
Ryan Merkel: Hi. Thanks. First off, Dan, you mentioned the investment in mobility. Just talk about what your vision is for how this is going to help sales and customer service. And then I'm curious what the early feedback has been?
Dan Florness: Yes, I’ll give the vision from the team because I do more listening to them than talking at them. Part of it is just to ease things that are basic. So think of when I make a delivery, historically, I print off a bunch of packing slips at the branch and I take them with me and I get those signatures on the packing slips and I bring them back, I file them away. And if there's something that doesn't get paid and I need a proof of delivery at some point in the future, I'm digging through a file cabinet. Now we have signature capture. And now that doesn’t mean we always get a signature because sometimes the person doesn't want to touch the device in a COVID world, so we're working through that but it's – that's a whole bunch of back office – streaming the back office function which that brings no value to our customer supply chain. It's figuring out how to tap into that. Another one is, when I'm out visiting a customer going to – when I'm going to the vending machine, now that we own the technology that is the vending machine, our mobility device talks to the vending machine. And so we're not working with a keyboard -- a really obtuse keyboard on a vending machine to do inventory transactions. We have the device in our hand and it's talking to our point of sale system; incredibly efficiency enhancement. We're using mobility with our LIFT facilities. So I can fill machines and transmit it to the point of sale that it's filled and it automates a lot of processes behind the scene. Another one is if I'm out talking to a customer and they have a question about something, I actually have the means to answer the question. I don't need to write it down, get back to the branch, look up in my point of sale system and call them back. I can answer it on the spot. I can order it on the spot for that matter. And so it allows you to do a lot of things right now. Just like a cell phone, think of the efficiency that brings to almost every human being on the planet today. I can take care of something right now rather than writing it down and making a phone call when I get back to a phone. So it allows us to do a lot of things. It allows our team to be more mobile in the COVID environment. Being more mobile is great, because I don't need to go back to the branch at the end of the day along with everybody else and congest up an area because I never [ph] have to work on the same terminal. The other piece that allows us to illuminate for the customer when deliveries are made, when our schedule is coming and so our customer has greater visibility to their own supply chain, something that was difficult to do in the past. And the final one is because we're getting orders in earlier in the day, our distribution center can be picking orders we get at 10 o'clock, at 10 in the morning, not at six in the evening, because that's when the order was entered when they got back to the branch at 5 o'clock on the East Coast or 5 o'clock in the Central Time Zone. It allows you to move work up. If we could pick earlier today, our trucks can leave earlier today and more of our branches get a truck by six or seven in the morning rather than seven or eight in the morning. So it does a lot of downstream efficiencies.
Ryan Merkel: All right, it's very helpful. Thanks. And then secondly, I guess maybe for Holden, I was hoping you could quantify the safety surge in dollars for 2020 that may not repeat in '21. I have my estimate, of course, but I just want to sanity [ph] check it.
Holden Lewis: Well, I think we talked about second quarter – again when we think about surge, I'm really confining the dialogue to second quarter because I don't really know how you differentiate surge from market share gains from customers that are restocking post an issue or pre-stocking in anticipation – I don't know how to differentiate that in Q3 and beyond. And I believe last quarter we talked about 350 million to 360 million in surge revenue that one conclusion could be that it may not recur, but one thing I would point out and talked a little bit in my presented remarks or my prepared remarks was we are winning business. If I think just about healthcare and government, in the second quarter we had 5,400 accounts that we did not have in the first quarter. Now remember, in our system, an account is not a customer. A customer can have multiple accounts. But we have 5,400 accounts with customers in the second quarter in healthcare and government that we did not have in the first quarter. In the third quarter, of those 5,400, in July, 1,000 of them ordered again. In September, I think 850 of them ordered again, right? So that surge business of 350 to 360, will all of it replicate? I mean, we hope not, right? To some degree, we’d like this whole COVID thing to back off. But some of that is being replaced with regular way business with customers that we raised our profile with that we didn't have that we now do, and we’ll retain some of that. And so I suppose the quick answer is 350 to 360, but I don't think that the whole is going to be that big. But unfortunately, I'm not really sure what that is at this point. We're going to need more time to really sort of evaluate the data and understand the marketplace and how it evolves. I think that's just some perspective that's worth providing.
Dan Florness: The other wildcard you need to at least consider is when does the activity we're seeing in Q3 and the activity we're seeing in Q4, when does some of that subside and we get to whatever our new normal of life in this world is? Is it people over the age of 70 wearing masks a lot? I don't know. Is it more sanitizing done or are we back in – two years from now, does it feel a lot like it felt a year ago? Only time will tell. Personally, what we’ve challenged our team to prepare themselves for is regardless of your opinion on when a vaccine may or may not be available and regardless of your opinion on how fast we can produce to provide vaccinations for the population that we have not just in this country or in this continent but in this globe is going to take time. And I feel sufficient to say to our employees we better plan on being in this kind of environment for at least through another 12 months. And how it tweaks and changes and goes up and down between now and then, time will tell. But that's where your head needs to be. And so if that's truly there, that tells me there's going to be a certain level of this extra layer of safety and janitorial products I believe for quarters to come.
Holden Lewis: And let's not forget as well, because obviously I know the point of the question and understand that. When we're copying against that product, we're also copying against the fastener business that was down 17%, 16%-17% in the same period that --
Dan Florness: And 7% this quarter.
Holden Lewis: And 7% this quarter. So, I understand the point of the question, right? I mean, there certainly is a difficult comparison to be had in Q2, but just bear in mind that we have an easy comparison in fasteners if the market has come back at that point. And we do believe that we have picked up market share and so that 350, 360 doesn't just go away completely because we picked up business we didn't have in Q1 last year.
Ryan Merkel: Yes, some great points, guys. Thanks a lot. I’ll pass it on.
Dan Florness: Thanks, Ryan.
Operator: Thanks. Our next question is coming from Michael McGinn of Wells Fargo. Please go ahead.
Michael McGinn: Good morning, everyone. Thanks for the question.
Dan Florness: Good morning.
Michael McGinn: I can start on the onsite. Historically, your branch onsite or consolidation efforts have been somewhat mirrored by onsite signings in those same markets or at least that's been my understanding. Given we're in somewhat uncharacteristic times, what is the net impact on your SG&A this year and maybe next year as the signings pick back up and you see a void left in those markets or anything like that?
Dan Florness: The void in the markets related to SG&A from what?
Michael McGinn: So the branch consolidations, they're accelerating where onsite have decelerated. Historically, my understanding has been you maybe consolidate a branch and a couple of those large customers served by that branch are able to convert to an onsite. Now this is different. Does that maybe kick start things again in 2021?
Dan Florness: So the first thing I would say is I wouldn't so explicitly tie branch closings to onsite openings. I can't rule out that there haven't been some branches that have been closed, maybe in small markets where there's very few customers because of onsites have gotten created. I think that probably has happened. But in general, they've been independent decisions. The decision to close a branch has more often been because it's a smaller branch that maybe the path is scaling and it doesn't look today like it might have looked five years ago, seven years ago when it got open. And the onsite decision is similarly somewhat independent. So I would be cautious about tying those two explicitly together that way. I think that they're more independent than you're giving credit for.
Holden Lewis: The only place that you could make a link is roughly half of our branches, I think it's 55%, are in large metropolitan areas with more than half a million people. And so there, there is some connection, but it's not – think of it more as, as we open onsites in a market like Minneapolis-Saint Paul and we go directly engage with customers onsite, over time it might mean to serve the market in Minneapolis-Saint Paul, fewer branches makes sense because instead of having 30 or 40 branches in the market, we might have 15 to 20 branches in the market and 40 onsites. And so it's really morphing how you're approaching it, but it's more of a case of the one allowed the other to operate in a different fashion and more efficient. So if you don't tie the openings and closings of the two together, does that change your question?
Michael McGinn: No, I'm all set. I'll take it a different direction from here. So given that you were able to take some early actions regarding stocking ahead of COVID and shown an aptitude for skating to where the puck is going, not where it is and also trying to remain as apolitical as possible, you've always paid your fair share of taxes and you've also benefited from fair and open trade. So looking into '21, what is the most important factor for your business in your mind?
Holden Lewis: I'll give mine and Dan can give his, but I think it's reaccelerating the growth driver activity. And again, part of that is simply when do customers reengage with us because that kind of shut down during the second quarter as our customers are dealing with some more pressing issues at the time. But those growth drivers is our key to what allows us to gain market share. And so when Dan talks about the hundreds, the hundred vending a day and the hundred onsites a quarter, I think sort of getting back to that level, give or take, of signings for our growth drivers is critical not only for 2021 growth, but probably more importantly for 2022, 2023, et cetera. We're built on growth drivers and growth and those are sort of core to it. So that's I think a very important element for us right now.
Dan Florness: Michael, I love the way you asked the question. You have an apolitical question, looking for an apolitical answer. I only wish our media on both sides of the fence could do the same. And from my standpoint, we're a supply chain partner to our customers. We operate in the same environment, all of our peers do. We have no unique advantage or not – we have no unique advantage or are not uniquely hurt by anything that changes. We react to it. We reacted to COVID. Because of our decentralized nature, because of our true belief in people and giving them the freedom to make decisions, we just move faster because we're not looking – everybody isn't looking to somebody else to tell them what to do. We do and we support each other. And so if the trading patterns between nations on the planet changes, we will morph to that change just like our industry will and just like our customers will and the marketplace will, and I think our actions over the last several years in a tariff environment and now in a COVID environment demonstrate the sheer strength of the Fastenal distribution model as a supply chain partner to our customers.
Michael McGinn: Thank you. I appreciate the time.
Dan Florness: Thanks. It is five minutes to. I think we have time for one quick question. Let’s do one more.
Operator: Our next question is coming from Hamzah Mazari of Jefferies. Please go ahead.
Hamzah Mazari: Hi. Good morning. Thank you for sneaking me in. My quick question is just at a high level if you could just compare what does the sales cycle look like today during COVID on onsites, I know you mentioned sort of 62 signings, but versus pre-COVID? Is the sales cycle just pushed out by a few months? Is it longer? Is it sort of an in-person type meeting you have to have? Just give us a sense of is there pent-up demand here from signings that were sort of midway through that got essentially closed due to COVID and will reopen? Just any thoughts high level as to the sales cycle?
Dan Florness: Yes. I don't think the sales cycle is changed at all, assuming you can do a sales cycle. And what I mean by that is, there's some business – when times get crazy, some people kind of duck their head and say, okay, let's figure out who we are. It's status. It's kind of like in the movie Apollo 13 when everything's falling apart in the rocket going to the moon, okay guys, what’s the status? What do we have on the ship that works? And that's what a lot of companies go through is they kind of shut down and they say, okay, what are we doing? And Fastenal, we're going to give you the Heisman and say we can't talk today. So it's not that the sales cycle is drawn out, it might be the sales cycle doesn't occur. And so the real question is, when does it start to occur? One of the things that hurt us in 2020 on top of COVID is an outgrowth of COVID was we didn't have our normal customer expo in the spring, which is a great igniter for change because you get a chance to really engage with folks and you really are able to talk about what we are. We're not an e-commerce platform. We're not somebody you hop on and if we have it great and if we don't, you're kind of SOL [ph]. We are your supply chain and we’ll find stuff for you. And so we're slowly – our customers are willing to take that call even if it's a virtual call. It doesn't have to be in person. It's nice if it is, but it doesn't have to be. In some ways, we might move faster in a virtual world because we're not waiting for a resource to be there. Maybe somebody at the plant can't make a meeting, but they can if it's done virtually. And so in some ways, it might shorten the sales cycle. I do believe this. I believe it's expanded the demand because the marketplace is more appreciative of a great supply chain partner after the last six months than maybe they were in the past. And when I say expand, my example earlier with government, I think a lot of those folks would kind of look at us in the past and say, you know what, that's different and we don't do different. And now they're looking and saying, we need to do different, we need to embrace change. So I think it's expanded it. I see we're at about two minutes before so I'm sorry, I won't give you a follow-up, sorry. But Holden’s available right after the call. I’d just like to close with my thanks to the Fastenal team for everything you've done. Not just the last three months, but for the last six months and frankly for the years. Many of you have been with us years and you've seen us through good times and bad. And we find success together. I want to thank our shareholders for participating today. And in closing, on October 28, my wife and I will celebrate 25 years and Jen, thanks if you're listening. Have a good day, everybody. Take care.
Operator: Ladies and gentlemen, thank you for your participation in today's event. You may disconnect your lines or log off the webcast at this time, and have a wonderful day.